Operator: Hello ladies and gentlemen, thank you for standing by. Welcome to the PotashCorp First Quarter Earnings Conference Call. At this time all call‐in participants are in a listen‐only mode. (Operator Instructions) I would like to remind everyone this conference call is being recorded on Thursday, April 24 at 1:00 p.m. Eastern time. I will now turn the conference over to Denita Stann, Vice President, Investor and Public Relations. Please go ahead.
Denita Stann: Thank you, Brock. Good afternoon, everyone, and thank you for joining us today. Welcome to our first quarter earnings call. In the room with me today, we have Bill Doyle, our President and CEO; Wayne Brownlee, our Executive Vice President and Chief Financial Officer; Stephen Dowdle, President of PCS Sales; David Delaney, Executive Vice President and Chief Operating Officer; Mike Hogan, President of PCS Potash; Grace Scully, Vice President Project Management and Capital and Paul De Kock, Vice President, Phosphate. I’d like to welcome the media who are listening in and remind people that we are live on our website. I would also like to remind everyone that today’s call may include forward-looking statements. These statements are given as of the date of this call and involve risks and uncertainties. A number of factors and assumptions were applied in the formulation of these statements and actual results could differ materially. For additional information with respect to forward-looking statements, factors and assumptions, we direct you to our news release and our most recent Form 10-K. Also, today’s news release, which is posted on our website, includes a reconciliation of certain non-IFRS financial measures to their most directly comparable IFRS measures. I’ll now turn the call over to Bill Doyle for some comments and then we’ll go into questions.
Bill Doyle: Thank you, Denita and good afternoon everyone and thank you for joining our discussion, Potash Corp’s first quarter performance and our outlook for 2014. After volatility in the back half of 2013, we entered this year with a much improved and more stable environment. Our first quarter earnings of $0.40 per share climbed sharply from the fourth quarter of 2013 and surpassed the upper end of the guidance range we provided in January. Although prices improved during the quarter for all three nutrients it came from a much lower baseline and kept our earnings below those of the comparative period last year. In potash, we generated $300 million in gross margin for the quarter, our total sales volume surpassed last year’s first quarter but difficult winter conditions in North America slowed the ability of rail carriers to fully meet shipping demands. This created an order of backlog for many suppliers. To minimize supply disruptions to our customers in a strong North American demand environment we leveraged our extensive warehouse and distribution network. Sales volumes to this market increased 24% as distributors work to position product ahead for what is suspected to be a strong Spring planting season. In the offshore potash market movements to Canpotex’s west coast export terminals proved to be more difficult. Sales volumes were slightly below last year’s first quarter with both rail challenges and delayed Chinese and Indian contracts pushing some shipments into the second quarter. In nitrogen, higher operating rates and a full quarter of ammonia production from our restarted capacity at Geismar raised our sales volumes by 10% compared to the same period last year. In addition, this quarter reinforced the value of our geographically diversified production as our Trinidad operations provided us with access to lower cost gas compared to a rising US benchmark. The combination of higher operating rates and lower natural gas cost translated into improved per ton cost of goods sold in nitrogen and helped generate $239 million in gross margin despite a weaker pricing environment. In phosphate, we faced a number of headwinds, the $26 million we generated in gross margin for the quarter trailed first quarter 2013 and was well below our expectations. On the operations side a number of challenges limited our production capability and consequently our phosphate shipments during the quarter. Beyond this, the benefits of lower sulfur and ammonia input costs were offset by accounting adjustments of approximately $29 million all of which were included in our cost of goods sold. The underlying confidence in our business for the months and years ahead meant we remained active on the share repurchase front, during the first quarter we bought nearly 12 million shares at an average price of $34 per share. We are now approximately 60% through our program and expect to complete the full authorization by August 1, as we enter the second quarter we do so with all potash markets engaged in an environment that has supported improved prices in all major spot markets most notably for granular product where supply is especially tight. We believe market conditions in place today support our previous estimate for global potash shipments of 55 million to 57 million tons in 2014. In North America we anticipated a strong rebound in demand this year based on our first quarter shipments and second quarter book, this scenario appears to be playing out. A delayed start to the spring planting season has provided some relief for producers trying to keep up with shipping demands amidst real challenges, the situation is improving but there is still a significant amount of product that needs to move and we are working diligently with our transportation partners to meet our customers’ needs in a timely manner. Not surprisingly, today's commodity prices are creating optimism for our customers in Brazil. Potash shipments to this market are expected to remain strong and could once again set annual records. This year we expect Brazilian demand to accelerate to the second quarter and carry into historically strong third quarter. Over the past few weeks, I’ve had the opportunity to spend some time with our Asian customers, after a trip to China. As you all know these markets have huge potential and we expect them to remain significant drivers of future growth in our industry. In Southeast Asia including Indonesia and Malaysia, demand emerged early in the quarter and our order book reflects a healthy level of shipments in the months ahead. Canpotex remains a key supplier to this important region and with support of crop economics in place we anticipate potash shipments will outpace 2013 levels. In contract markets, recently settled Indian supply contracts are expected to result in increased shipments relative to last year. We still have a long way to go before consumption returns to previous levels, or those consistent with agronomic needs, but expected shipments through the remainder of 2014 suggest the consumption levels will modestly improve. In China, shipments are expected to accelerate through the second quarter to fulfil existing first-half supply contracts. Not surprisingly the question on everyone’s mind is how this market will respond in the second half. We believe that 2014 could see an improvement in underlying Chinese consumption. However, as previously stated we believe the combination of significant first-half potash imports and small incremental domestic capacity gains could minimize China’s requirements through the final half of the year. This does not necessarily mean that China will sit on sidelines completely, but we anticipate only modest second half shipments to this market. Even with this expectation we anticipate global shipments will remain relatively robust through the coming quarters. Operationally, we continue to make meaningful strides in our potash business. Our, per ton cost have already begun to move lower and we remain on track to achieve our target reduction of $15 to $20 per ton from 2013 levels. The team at Allan will be wrapping up a safe and successful Canpotex allocation run in the coming days. Early results are exceptional, proving out approximately 4 million tons of capacity and we expect to see our Canpotex entitlement climb above 53% for the second half of this year. We anticipate our nitrogen business will remain a significant contributor to our bottom line in 2014. The recent momentum in nitrogen markets, in particular ammonia has improved our near-term outlook for this segment. Although prices are still expected to trail those of the previous year, additional production from our low-cost Brownfield expansion and lower per ton operating cost are expected to help support gross margin at historically high levels. In phosphate, we begin the second quarter with an improved operational environment. The production challenges we faced early in the year appeared to be behind us and our plans are now operating in full capacity. Despite recent pricing strength in North America for phosphate fertilizer products, weaker gross margin contributions during the first quarter have lowered our full year expectations. With these factors in mind we’ve slightly increased our full year’s earnings guidance, now expected to be $1.50 to a $1.80 per share. For the second quarter, we have provided a range between $0.40 and $0.45 per share. As I’m sure, all of you are aware, we announced the selection of our new CEO, Jochen Tilk who will take over on July 1. This announcement was a culmination of a three-year search and evaluation process by our board which included a number of very well-qualified candidates. As most of you know, I’ve always been passionate about our company and it’s potential. I know Jochen shares that same confidence in our business. He is a proven leader and brings an extensive mining background with a track record of disciplined growth and operational excellence. I know he also holds the same commitment to building relationships and serving the needs of our shareholders, customers and other important stakeholders. Jochen will also have a board and management team by his side that is among the most experienced and talented in the industry. To assist with that transition I will also remain with the company as senior advisor until June 2015. I firmly believe our company’s brightest days are just ahead. We have outstanding people, world class assets, and the right strategies to be successful in any environment. These strategies have been tested time and again, and have created tremendous long-term value. They have allowed us to build a portfolio of assets with unique and competitive advantages that position us well for the future. Our board, management team and Jochen share a commitment to this philosophy of maximizing long-term shareholder value. For each of you listening in on the call today, while this is certainly not good-bye, my role in the coming months will shift as I support Jochen through his transition. It’s been an absolute honor and pleasure working at Potash Corp for the past 27 years and leading this company since 1999. I thank each and every one of you for your support. I am joined today by the rest of our senior management team and happy to take any questions you have.
Operator: Thank you [Operator Instructions] Our first question today comes from Mark Connelly of the CLSA. Please go ahead.
Mark Connelly - CLSA: Thank you. Bill, you referenced China and the small amount of new capacity. But we read about fairly substantial numbers of capacity projects coming in Asia and yet we have our doubts about the accuracy of the existing numbers. What is your view of the amount of capacity we're going to see coming from China in the next couple of years, rather than in 2014? 
Bill Doyle: Well, we think that number is fairly limited Mark, we think they are going to be about 5.5 million tons this year in China. And we think that over the next three, four years they could get up to six. But they are basically coming to an end what they can do is just strictly related to brine capability in Qinghai Salt Lake, and that’s the limiting factor.
Operator: The next question comes from P.J. Juvekar of Citi. Please go ahead.
P.J. Juvekar - Citi: Yes, you've written down your Sinofert Holdings, you're holding in that twice so far to the tune of about $380 million. So can you tell us what happened there? And are we done taking write-downs on that investment? Thank you.
Wayne Brownlee: Alright, P.J. I am going to ask William to respond to that.
Bill Doyle: Hi, P.J. We’re frankly hostages to the accounting rules, Sinofert’s classified as a fair value investment. And so the test on an ongoing basis is a market price, if it’s traded publicly in China. And so it’s the ongoing share price. So they’ve had a bit of rough road here in the last little while and the share price has reflected it. And basically is on an automatic pilot now. We have no control over the write down, it’s completely hostage to the accounting rules.
Operator: The next question comes from Vincent Andrews of Morgan Stanley. Please go ahead.
Vincent Andrews - Morgan Stanley: Congratulations to Bill. Wondering, Bill, if you could talk a bit about the Southeast Asian market. Seems to be the one market where the price hasn't sort of reverted post the events of last year and the Chinese settlement. The prices seem to be stalled out. And I guess sort of another question about the Brazilian market; you expected that -- you said you thought the demand would accelerate into 2Q. And the data I see says that demand was up 44%, 1Q over 2Q. So how much better can 2Q be versus 1Q? Thanks.
Bill Doyle: Hi, Vincent. Thanks first of all for your comments. And I will ask Stephen to comment on Brazil; second I’ll comment on South East Asia, basically Malaysia, and Indonesia. You know, I think what you have to realize, those are standard markets. And both Belauruskali and Uralkali have been very aggressive in those markets. So that’s why you have seen relatively lower prices there. Now that India and China are settled and the standard shipment seems to be increasing. I would expect in those spot markets, in Malaysia and Indonesia that you are going to see some price increases. So I think it was a function of the fact that there was a little [dearth] in the settlements of the big contract marks, now that those are done. I think you’re going to see improvement in standard prices in Malaysia and Indonesia. Steve you want to comment on Brazil.
Stephen Dowdle: Yes. Vincent, in the first quarter as you point out very strong quarter for Brazil, imports came in just over 2 million tons. Yes. We do expect to see growth in Brazil this year. And last year total imports just over 7.6 million tons and in order to achieve level there of approaching 8 million tons, it really need going to have to have a pretty even flow of product into that market each quarter. What we see in the first quarter, we certainly saw the demand in preparation for the safrina crop also there’s an increase in wheat being planted in Brazil this year, partially responding to some of the global market conditions that are encouraging wheat production. And looking ahead into the second quarter and third quarter, we are certainly expecting very strong soybean planting, continued strong corn planting. We expect to see an expansion in soybean acres which will support a record year in Brazil; it’s our expectation in 2014.
Bill Doyle: You know Vincent, just as a follow-up, you know if you look at what’s going on, the core conditions in various important growing regions, in Brazil you know we’ve had a very dry hot summer there and I think the driest in 7 years. The coffee impact, sugar cane impact, you could see some pricing progress in those two crops, and then you look at south-east Asia with the drought there affecting palm oil prices. So it’s a pretty attractive market in terms of fertilizer return for growers in both of those important areas. 
Operator: The next question comes from Ben Isaacson of Scotiabank; please go ahead.
Ben Isaacson - Scotiabank : As you know, we've seen flattish overall global potash demand over the past five to seven years. And given what you've learned, what reason now gives you the most optimism for demand growth and how do we get there?
Bill Doyle: You know Ben, you got a look at it over the long-term, which is much like most things in our business. Our business are really long-term business, and so if you think about the last 10 years and you take growth prospects over the last 10 years, I think, it leads you to think that growth would be permanently retired. I think you yourself as somewhere in that 1.5% growth for potash markets, we don’t see it that way. We think it is a long-term. You go back to 1960; that trend line' is much closer to 3%. We did have the fallout of the great recession which has had devastating impact on the global economy. And then you had obviously the kerfuffle in Russia and Belorussia, all these things, all these uncertainties that have played out. I think that you’ll see a rebound. This year we are going to be 5% up, from 53 million to -- if you take the midpoint of our guidance, say 56 million. So that’s more than 1.5% there and then you know what we think is going to be a stronger market for overall growth in 2015. We think we have some growth years coming ahead of us, because you got to get back to trend line. And so if you look at that long-term trend line, it might give you a different perspective on growth. And generally that has worked very well over time. We’ve had, as I said, some issues over the last six to seven years. But the other thing is, India as you know has been way off. And that’s been due to subsidy distortions and you know monetary, trying to fix their fiscal policy, and now you’ve got the elections coming up there. We don’t expect 2015 to see a rebound to 6 million. But clearly the new government is going to have to address the problems that they have in India. And in India, again we don’t know what the monsoon is going to be here in 2014 and, if there isn’t a good monsoon the nutrient deficiencies are really going to come home to roost. And so you're just going to see a rebound in demand. It won’t stay at lower levels for ever. I think you just have to keep the faith. 
Operator: The next question comes from Jeff Zekauskas of JPMorgan, please go ahead.
Jeff Zekauskas - JPMorgan: Do you have views as to whether Uralkali and Belaruskali will come back to some sort of marketing agreement? And do you think it matters to the potash market if they do? 
Bill Doyle: You know what I know. You’re reading reports that they're talking and I've been asked this question, and I said it’s -- in my opinion it’s a question of when if, because they both need it. You know I mean if you look at the results. You had a strategy was, revenue maximization for Uralkali, and if you look at their year last year, revenue was down 16%. So that’s not revenue maximization. And then the earnings were down 58%. I mean it speaks for itself the facts there. And I know Belorussia with the impact of GDP from potash; they clearly need higher earnings to drive their country forward. So I think it’s a question of when that if and would it help the market share. 
Operator: The next question comes from Joel Jackson of BMO Capital Markets; please go ahead.
Joel Jackson - BMO Capital Markets: Maybe I'll follow-up on that question. Bill, do you think that pricing momentum for potash in Southeast Asia and Brazil can continue if Uralkali continues to run at about 1 million tonnes a month? And if Belaruskali can get back to some of the bond it was producing maybe a couple years go? Thanks.
Bill Doyle: Well, we’re getting mixed signals. We don’t listen to too much what people say. We watch what they do and I do think that you're going to see appreciation in spot market prices here for second half of the year. I think, the need is I just expressed by those two enterprises, for improved results, is substantial.
Operator: The next question is from Chris Parkinson of Credit Suisse. Please go ahead.
Chris Parkinson - Credit Suisse: Based on the preliminary strength you've seen in the North American market, how much of the year-over-year increase do you believe was attributable to inventory rebound versus an increase in certain crops such as soy and cotton? And then also which regions in the US have been the strongest?
Bill Doyle: All right. Chris, I am going to ask Stephen Dowdle to respond to that.
Stephen Dowdle: Yes, Chris. The shipments in the first quarter were very strong in North America, but I should say that it really is not been due to building up of inventories, because right now the concern in the market is over supply. And the supplies are slow in coming they ventilate, with logistics issues. And the dealers are very concerned about getting the adequate supply so it’s nothing, there’s no inventory build right now. And our expectation are that there were some anomalies in the first quarter so really wouldn’t want to take one quarter worth of data and try to extrapolate into the whole year. We saw in the fourth quarter of last year. We saw some inventory bill there was some production that wasn’t sold, our inventories were fallen during that time. So we didn’t really understand what exactly was going on but what we do believe is that some of that product was actually transacted in the first quarter of this year and that is one of the reasons why these shipment are showing, why the sales are showing so strong in the first quarter this year. As we get into the second quarter, we’re getting improved transportation performance from our real partners. And we do anticipate with slightly slow start to the spring that the improved service is going to allow us, for the most part meet our customers’ requirements.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson - Goldman Sachs: Maybe staying on the North American market, I was hoping to get your thoughts on the longer-term sustainability of kind of premium pricing in North America, your domestic netbacks relative to the Midwest have actually declined in the last couple years, and few years ago, I mean 10 years ago actually wasn't that uncommon to see Potash Corp have higher netbacks under International sales than domestic. And just reflect on your domestic market pricing, especially in the context of new capacity additions coming from yourself and your peers over the next couple of years?
William Doyle: Hi, Adam. Well I think, you’ve asked a good question. Historically, over the long-term again, the international price has been higher than domestic prices. Do we expect that to come about again, the answer is yes. As we see growth in the international market, we expect that you’ll see over the long term international prices higher than domestic prices. In the domestic market, right at the moment, of course, you’ve got a lot of logistics involved in that market. There’s a lot of service requirements. Keep in mind that the domestic market is a granular market. There’s a lot of standard in the exports, so you’re talking about product mix, and if you think about our offshore realized prices, you are 217 for the latest three months and 295 in the domestic market, and both of those have come off substantially since the second half of last year. So you know the impact that we saw impacting the offshore netback and the differential between offshore and domestic has narrowed somewhat. It was a little bit broader than that prior to the second half of 2013, and we think that you’ll see again, as I said, over the long-term, the international price will be higher than domestic price.
Operator: The next question comes from Jacob Bout of CIBC. Please go ahead.
Jacob Bout - CIBC: I had a question on Potash mining costs, and ultimately how low do you think you can drive that cost base? And then, maybe just as a follow-up, at what point do you look at shutting in mines versus running at reduced rates?
William Doyle: All right. I am going to pass it on to Mike Hogan. Mike, do you want to comment?
Mike Hogan: Yeah. Hi, Jacob. Following our workforce reduction in December and adjusting our operating requirements, and if you look at our Q1 based on our operating capability, you know we ran our mines from 90%, 95% of capability, and that’s an increase of 20% over the previous quarter last year. And with those higher operating rates and reduced -- reduction of workforce, we sa --, we recognized decreases in labor, maintenance, and [interior] (ph) costs, and I think in general when we are able to run those higher operating rates, we gained efficiency gains just purely by running our plants longer and harder, so when we look at 2014, although the variability from quarter-to-quarter throughout 2014, we are on track to recognize $15 to $20 cost savings, and we'll continue to adjust and leverage our low-cost plants accordingly.
Bill Doyle: I think Jacob, this is one other comment. We have enormous flexibility in our system, and we operate according to the market, as you know, and we can – the market comes back at us faster. We can make adjustments, so I just think the way we have been operating here since the second half of 2013 is just a smart way to proceed and make sure that you’re the most efficient you can be in whatever atmosphere you might find yourself. 
Operator: The next question comes from Jonah Weisz of HSBC Bank, please go ahead. 
Jonah Weisz - HSBC Bank: Would you be able to detail, I just think, give us some detail on the logistics bottlenecks that you may be facing during the second quarter? Would it be train to Vancouver or distribution on a North to South access? And also have you been seeing much foreign product come in to compete with or attracted to North American potash prices? 
Bill Doyle: Jonah, I’m going to ask Stephen Dowdle to take that one.
Stephen Dowdle: The logistics volumes, what we see going into the second quarter is we are both on the Canpotex offshore volumes as well as on the domestic side is, we do see a carryover of demand that’s bleeding into the second quarter. And in fact, we are going to see some bleeding into the third quarter as well, and really what this means is that we really have pretty good visibility on Q2 and Q3 as far as our demand and as far as our inventory outlook is concerned. We are going to see very strong shipments in both Q2 and in Q3. We are going to see inventories decline during this period, so rather than getting into some very specific volumes, what I’d like to say is that, from meeting our customers’ requirements, we are not -- these logistics delays, particularly in the offshore, they are not going to result in lost business, it is just delayed shipments. We are going to be able to make that up and meet our customer requirements. On the domestic side, the ability for us to meet all other requirements is going to be impacted a little bit by what kind of a spring planting window we have. Right now, it looks like we're off to a little bit of a slow start, and depending how the weather comes here in the next three or four weeks, if we get an extended application window here, we will be able to meet our customers’ requirements for our domestic demand as well.
Bill Doyle: And in terms of foreign imports, just to tackle the second part of the equation or your question is, we think about the same as last year, about 800,000 tonnes is what we’re predicting for foreign imports, and so it should be fairly similar to last year.
Operator: The next question comes from Steve Hanson of Raymond James, please go ahead. 
Steve Hanson of Raymond James & Associates: Just a broader question on the inventory level situation. Just wondering if you could speak a little bit more about the global situation in the different regions, and then maybe just provide some additional color on how low you think inventories might shrink domestically here just on a rough magnitude basis?
Bill Doyle: Alright, I’m going to ask Stephen Dowdle to take that one, Steve.
Stephen Dowdle: Okay, on the global side, there’s no real hard data to point to, it’s just kind of going from market to market, and we don’t see really any inventory build in any market, and this is really kind of residual impact from last few years of customers wanting just-in-time type of delivery. And we are seeing that now as we came into the first quarter of 2014. There really was no inventory, a significant inventory in the market, so the demand that we are seeing is real demand, it is demand for consumption. That’s a good thing. As far as what we see here, I spoke to the domestic inventory, and we do see the domestic inventory declining here with these expected robust shipments here in Q2 and Q3. What level it’s going to get to, it’s a little difficult to say, but we are definitely going to see the trend on the decline.
Bill Doyle: You know Steve, I would just add that, you know inventory -- willingness to take inventory by customers is a confidence factor in the marketplace, and with the events that we have had over the last couple of years, whether it’s the recessionary fallout or the VPC breakup, there hasn’t been a whole lot of confidence. I think that’s changing a little bit right now, and my own estimation having just come back from Asia, talking to people, talking to customers there, I start to see that changing -- people think that the bottom has been reached, and now that we’re going to see prices start to improve, and that gives people confidence to take inventory, so I think after a number of years where we’ve been really skinny globally on inventories, you’re going to see some people start to take inventory with a view to enjoying some price appreciation, looking at their own results and then you see situation like we had in North America this year where we had delayed rail shipments and people are scrambling to get material here in time for planning and maybe they’ll be a little bit more confident to take some inventory too. 
Operator: The next question comes from Mike Piken of Cleveland Research Company, please go ahead. 
Mike Piken - Cleveland Research Company: Just a follow-up on the logistics question. I wanted to see kind of the thoughts among your customers and your thoughts regarding programs where they're licensing the product and putting into warehouses and pricing it later, kind of if you think kind of going forward, the balance of power is going to shift back toward the manufacturers now that some of the downstream inventories have been worked out? Thanks. 
Bill Doyle: All right Michael, I’ll Stephen take that one. 
Stephen Dowdle: We, as you know Michael, we have a very extensive warehouse system, and I think during a time like this, it’s really proved valuable for us. We were able to position products in that warehouse system, and I don’t see our basic model changing significantly. I think that we have basically two application windows every year, one in the spring and one in the fall, and when the demand comes, it comes very hot and heavy in a concentrated period, and you really need to prepare for that, and we have the warehouse and the distribution system to prepare for that, and we’re even increasing it with our Midwest hub distribution in Hammond, Indiana, and we just feel that it’s a good model for us, it’s a good system, and we don’t really see a significant change to that going forward. 
Operator: The next question is from Don Carson of Susquehanna Financial, please go ahead. 
Don Carson – Susquehanna Financial: Bill, question on your operational capacity versus constructing capability. I know back in December you talked about ramping operational capability up to 10 million tonnes next year and 12 million tonnes in 2016. With your guidance kind of the high end being around 9 million tonnes of shipments this year, I'm just wondering if you're rethinking your 2016 targets of 12 million tonnes of operational capacity, whether you might cut that back a bit? And as you look at the overall capital expenditure program that's coming to a close here what's sort of the return on capital that you're now anticipating versus what you originally thought it would be when you made it? 
Bill Doyle: All right Don, you asked two questions, we’re going to give you that luxury here on my last call. I’m going to ask David to answer the first part of your question, and ask Wayne to take the second part. 
David Delaney: Yes Don, our operational capability next year could be 10 million tonnes, we’ll manage that in 2015 as we get closer to that year. Obviously, we’re bringing our Rocanville operation up in late 2015, and we’ll look at that capability as we go into 2016 and again we’ll manage our supply based on market demand this year, our through capability is 9 million tonnes with the downtime that we’ve indicated. We’ve been carrying about a million tonnes of inventory, so we feel like -- with that, we’ve been able to run our operations at closer to 90% to 95%, and we think that certainly helped our overall cost of goods, and we’ll continue to manage those operations year to year.
Bill Doyle: Wayne? 
Wayne Brownlee: Regarding the return on capital, first of all we continue to believe that all those expansions will exceed our weighted average cost of capital on an ongoing basis. Something that we have not talked a lot about over time, but the significant tax deferrals that we’ve had, resource taxes, and income taxes in Canada really means that those capital expenditures, which in total are about $8.2 billion, actually the net cost to our shareholders is closer to $4 billion, so when you factor in the actual net cash outlay against the net cash flow coming back and even taken into account as we did that there would be a ramp up time and that the tonnage would have to come on slowly, we’re more than happy with this, and I think that at the end of the day, the target of 15% returns, is the target that we will actually realize and so not to worry about. 
Bill Doyle: And maybe just one other comment Don, that is that if you look at what we have done, now that we’re almost completely finished with our expansions, we brought those tonnes on for about $700 a tonne. The next Brownfield expansion here in Saskatchewan will be done, I think the number is $1900 a tonne, it’s a big advantage. And then you’re looking at anyone else that would follow, there's a Greenfield that looks like 2017, boy that tonnage cost, even with a solution mine is going extraordinary. And so, the first mover advantage that we had over the long term, we have improved our competitive position immensely, and it should not be underestimated. I don’t think it’s misunderstood by people, but it shouldn’t be underestimated either what that competitive advantage will do for us.
Operator: The next question comes from Mark Gulley of BGC Partners. Please go ahead.
Mark Gulley - BGC Partners: Bill, when all the dust settles with respect to the Rocanville prove out and competitive prove outs, can you hazard a guess as to where your Canpotex allocation will settle out, when all the dust settles?
William Doyle: You know it depends on what our Canpotex partners do in terms of their expansions, so we don’t know what those numbers are yet, but what I said before, we started out on this program, we had a Canpotex entitlement. I said by the time we’re all through and everybody else is all through, we will have a bigger entitlement than what we had going in. And I would still say that’s the case.
Operator: The next question comes from Kevin McCarthy of Bank of America. Please go ahead.
Kevin McCarthy - Bank of America: Bill, curious to hear your opinion on how global potash markets might respond in a scenario where tensions were to escalate in Ukraine and the US, and perhaps other countries responded with trade sanctions against Russia, that included potash. In other words, would you expect trade to equilibrate pretty quickly with minimal impact or might it be more pronounced in your view?
William Doyle: You know, I kind of look at it as a big balloon in the market for potash globally. If you squeeze the air out of it at one side, it tends to pop up on the other. So, I don’t see any real big impact. If tension should escalate, God forbid in the Ukraine, say you had the Russians or Belorussians couldn't export to the U.S. market, let’s say it’ll show up some place else. I don’t see it as a major factor.
Operator: The next question comes from Matthew Korn of Barclays. Please go ahead.
Matthew Korn - Barclays: Bill, all the best to you as you take on your next challenge. Wanted to ask a little bit about phosphate business. If you could expand a little bit on some of the weather events and what really plagued the assets operations over the quarter. Can you talk a little bit about how much production was lost on a per tonne basis? If you could quantify what the incremental cost paid was due to these outages? And then last, there was about $29 million in the accelerated appreciation and ARO costs in the first quarter, how should we think about that over the course of the whole year? Thanks.
William Doyle: All right, Matthew, I am going to add Stephen Dowdle to respond to that.
Stephen Dowdle: Yes, Matthew. We did have a tough quarter in phosphate operations at our Aurora site. We began the year with low concentrated inventory. Then, as you know, we had extremely cold winter and combined with excessive moisture severely impacted our pre-strip and drag line operating rate, which is our mining rate, so we were down about 400,000 tonnes at the combined operations. At white springs, we had a cooling tower failure which was attributed to the colder weather in January. All these factors impacted our reliability in the downstream production. Total P2O5 losses for the quarter were 130,000 tonnes of P2O5. Results were also impacted by one-time charges of about $29 million, which was our Geismar settlement Honeywell. Our ARO increased and it accelerated depreciation of white springs, which I think was around $45 million for the year. On a positive note, Matt, our overall controllable costs were down $25 million year-over-year from $151 million to $126 million as a result of our reduction in force. In April, we are seeing budgeted production, I think all of our troubles are behind us, and we expect to see normal operating rates for the balance of the year. I would say the impact on the quarter losing 130,000 tonnes of P2O5 was probably $25 million.
Operator: The next question comes from the line Tim Tiberio of Miller Tabak. Please go ahead.
Tim Tiberio - Miller Tabak: With regards to your nitrogen and phosphate gross margin guidance, we've obviously seen a considerable rally in nitrogen and phosphate prices. Outside of the issues that you faced in phosphate, I was just wondering if you could give us a sense of whether you think nitrogen pricing is developing better or in line with your initial guidance that you provided, in January.
William Doyle: Hi Kim, I am going to ask Stephen Dowdle to answer that one.
Stephen Dowdle: Well, we have seen in the first quarter better pricing, and the demand has been good, a little different dynamic in the nitrogen and phosphate sectors. In nitrogen, the ammonia market really saw significant step up in April, and you know a $120 increase on the Tampa ammonia price to $580. Just this morning, it was announced that May has rolled over also at $580. This is really due to some production problems and certain producers, and supported by good demand. The industrial demand is very strong, and the agricultural demand certainly in North America is strong as well, so that the urea market is a little bit different. Prices have certainly been strong here in this season. We do expect after this season there’ll be a seasonal correction. The big unknown there is what to expect on the Chinese exports, last year we had record exports out of China of about 8 million tonnes, and we could see certainly another record year exceeding that number here in 2014, so that may put some pressure on the urea price. The UAN liquid price has been good, and we expect UAN to continue to trade at a premium to urea. And on the phosphate side, the first quarter demand has also supported good prices. We now see India coming back into the market. We had the phosphoric acid price settlement in India here in the second quarter, and the immediate response to that was the Chinese exporters raised their FOB China prices between $20 and $30 to coincide with higher phosphoric acid prices. So it looks like there’s some underlying strength there, a little more positive feeling in the phosphate sector than we’ve seen, and as go forward in the year and India is expected in Q2 and Q3 to be importing significant phosphates for their season, so that that could keep this demand, keep these prices a little bit firmer than what we had originally thought.
Operator:
 : The next question comes from Andrew Wong, of RBC Capital Markets, please go ahead. 
Andrew Wong - RBC Capital Markets: I'd like to focus a bit on market share and some of the competitive pressures in the potash market. Have you noticed any shifts in market share so far this year? And if so, are there any specific markets that stand out as being more competitive than you might have expected?
Bill Doyle: Andrew, what I’d say overall, no, not a significant shift in market share. Really, it wasn’t a significant shift in market share last year despite all the noise. As I said earlier, South East Asia has been a very competitive market, and that’s because it’s a standard market prior to China and India settling. That was the only game in town, and for those producers that are really standard oriented, that’s why that became such an aggressive market, that’s changing now, we’re seeing the landscape change; and overall, no I haven’t seen, I haven’t seen much market share change. 
Denita Stann: Brock we’ll have time for just one more question.
Operator: Thank you, the last question today comes from Greg Barnes of TD Securities, please go ahead. 
Greg Barnes - TD Securities: Yes, thank you, you generated strong free cash flow in Q1, with the NCIB doing quite well in terms of 60% executed, do you think you’ll continue to execute at the NCIB, and will you push it forward beyond August 1.
Bill Doyle: The answer is, we’ll continue and we’ll finish by the time it expires.
Denita Stann: Right, thank you everyone, if you have further questions today, please don’t hesitate to give us a call at the office, have a great day.